Operator: Greetings. And welcome to the Americold Realty Trust Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Scott Henderson. Please go ahead.
Scott Henderson: Good afternoon. Thank you for joining us today for Americold Realty Trust third quarter 2022 earnings conference call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional detail on our results, which is available in the Investor Relations section on our website at www.americold.com. This afternoon's conference call is hosted by Americold's Chief Executive Officer; George Chappelle; Chief Commercial Officer; Rob Chambers; and Chief Financial Officer, Marc Smernoff. Management will make some prepared comments, after which we will open up the call to your questions. On today's call, management's prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures, including core EBITDA and AFFO. Full definitions of these non-GAAP financial measures and reconciliations to the comparable GAAP financial measures are contained in the supplemental information package available on the Company's website. Now I will turn the call over to George.
George Chappelle: Thank you, Scott, and welcome to our third quarter 2022 earnings conference call. This afternoon, I will provide an update on our four near-term priorities and summarize our financial and operating results. I will then comment on our outlook for the remainder of the year. Rob will provide an update on our recent customer initiatives, and Marc will provide an update on our investment and capital markets activity along with a detailed walkthrough of our guidance for the remainder of the year. Turning to our four near-term priorities. First, we continue to demonstrate we can reprice our Warehouse business to offset inflationary pressures in our cost structure and protect margin dollar. At the third quarter, rent and storage revenue per economic occupied pallet in our same-store on a constant currency basis increased by 8.1% versus the prior year's quarter. Service revenue per throughput pallet increased by 7.7%. As a reminder, some of these price increases were implemented during the third quarter, meaning the full run rate will not be seen until fourth quarter results. During the third quarter, the majority of the inflationary pressures were in power costs, property taxes, and warehouse supplies cost. We have implemented additional targeted pricing and power surcharge initiatives to address this known inflation, and we will exit the fourth quarter at a run rate covering all known inflation incurred through the third quarter. Moving through this one quarter, we expect the majority of the inflationary pressures to continue to be primarily in power cost, particularly within our international market and in warehouse supplies got. As such, we will continue to revisit our pricing and power surcharge initiatives. Please note that at this time and based on current market condition, we do not anticipate significant moves in our way because going forward. As a result of our pricing initiatives, we are pleased to see progress in the recovery of our global same-store warehouse NOI margin, which for the quarter was 29.4%. This was an increase of a 125 basis points driven by an improvement in services NOI margin which increased a 116 basis points from the prior year on a constant currency basis. Second, we are focused on differentiating our platform by providing best-in-class customer service. We are beginning to see a positive shift in our customer service level with the increase in our perm-to-temp ratio which I will discuss momentarily. As we expected, our service levels are improving as our newer associates get more familiar with the Americold operating system and our workforce ratio improved. We expect this trend to continue with our efforts to reduce turnover. I firmly believe that servicing our customers at best-in-class levels will ultimately lead to increased market share and has meaningfully contributed to our recent increase in occupancy. Third, we continue to focus on labor management with the goal of optimizing our mix of permanent and temporary associates in our facility while also reducing our turnover rate. As we have mentioned in previous calls, temporary associates cost more per labor hour and are less productive in permanent Americold associates. Higher turnover is also costly and drive inefficiencies in our business. During third quarter, we are very pleased to have achieved a perm-to-temp hour's ratio of 72/28. This is 10 points higher than our third quarter 2021 level and slightly better than our pre-COVID levels of 70/30. We are making progress toward our longer-term goal of achieving a consistent 80/20 ratio. Our turnover rate is still significantly elevated when compared to both last year and pre-COVID level. We ended September this year and an annualized turnover trend approximately 21%'age point higher than that of September 2021. Compared to 2019, a pre-COVID year, there were approximately 33%'age points higher. A stable well-trained workforce is critical to operating efficiently and returning to pre-COVID margins in our warehouse service business. Our final focused area is ensuring that our development projects are delivered on-time and on-budget and then deliver the underwritten returns. This quarter, we are pleased to announce that we have completed our projects in Dublin, Ireland, and Barcelona, Spain, and we are currently inbounding our customers' product into both of these facilities. We expect these projects to stabilize during the timeframes and as we return levels this growth. Turning to our third quarter results, AFFO per share was $0.29, an increase of 7.4% compared to prior year. This performance was principally driven by our global warehouse same-store pool which generated total growth of 9.6% and NOI growth of 14.4% both on constant currency basis. The same-store revenue and NOI growth was a result of our pricing initiatives combined with a 437 basis point increase in economic occupancy over the third quarter 2021, partially offset by declining throughput volumes of 1.3%. On the cost side, the majority of inflation continues to be in our powered warehouse supplies cost. In certain markets, we have also seen larger increases in property taxes. Additionally, while our associate turnover ratio remain significantly elevated which negatively impacts our productivity inefficiency, we did see improvement in our same-store warehouse services NOI margin primarily driven by our pricing initiatives. On the whole, in the same-store pool, we were able to drive NOI growth higher to a combination of first prior pricing across our warehouse business to overcome increasing cost, and second, to increase economic occupancy which is very accretive to our bottom line. Now, let me comment on a specific customer agreement within our third-party managed segment, which as a reminder is a segment that generated approximately 2% of the Americold's total company NOI. After a strategic review of this part of our business, we have made the decision to exit relationship with a national retailer who mainly manage four facilities and have no ownership in the land, building, equipment, or any other assets. This management agreement generates approximately 1% of Americold's total company NOI. The operations with this retailer consume a vast amount of time and energy that woo economic benefits. Of Americold, 16,000 plus associates approximately 2500 or 16% of our company's associate base is dedicated to this retailers business. To put this in context, 16% of our associate support 1% of our total company NOI. On or around December 1, we are ending our management agreement with this retailer and are in the process of transitioning the business and associates to new third-party service provides. This will enable us to focus our attention on labor management in our core warehouse business where we own, operate, and utilize our assets to create value for our customers and shareholders and where we generate approximately 92% of Americold's total company NOI. On an annual basis, this agreement with this retailer contributes approximately $300 million in revenue and $8 million in NOI to Americold. This equates to a 2.7% NOI margin. The lowest business we have at our company and in fact the total company NOI margin increases by 235 basis point when we exit this business. This $8 million in annual NOI translates to approximately $0.03 per share in annual AFFO. We do not expect any material impact in this fiscal year. The remaining businesses in the managed segment, adds value to our company and shareholders and we have no plans at this time to exit what remain. As a result of the progress we have made in our operation, combined with the recovering global food supply chain, we are increasing our full year 2022 AFFO per share guidance to the range of a $1.08 to a $1.12. Marc will provide commentary around the individual components. Despite no shortage of macro headwind, high inflation, a challenging labour market, continued disruption in the global supply chain and increasing base interest rate to name a few. We are very pleased with our progress year-to-date and expect continued operational improvement for the rest of the year. We are deeply committed to providing best-in-class customer service and the results show up in our incremental occupancy improvement throughout the year. We continue to be laser focussed on our pricing initiatives to cover known inflation. As it relates to our cost structure, we have added tighter control, created more robust processes and strengthened our team to ensure that we have an accurate timely view of each cost component. In short, we are a better operating company today than we were one year ago. Lastly, before I hand it over to Rob, let me comment on our ESG initiative which is the key priority for us here at Americold. I am happy to report we recently received our 2022 GRESB score of 75, which is an improvement of 12 points versus last year's score. Additionally, against our peer set, we also improved our rank to second versus third last year. We are very pleased with this outcome and look forward to continued progress in our ESG journey. One example of this continued progress is our recently completed refinance of our senior unsecured credit facility. In this refinance, we incorporated a sustainability linked pricing component tied to our annual GRESB rating. With that, I will turn it over to Rob.
Rob Chambers: Thank you, George. For the third quarter, we are pleased to report total company revenue and NOI growth of 7% and 15% respectively driven by our warehouse business. We're seeing positive results in the topline fundamentals in our warehouse business across both through manufacturers and retailers. These improved fundamentals combined with an intense focus on customer service or leading to an enhanced win rate on our new business development opportunities and driving higher occupancy. I cannot underscore enough the importance of our customer service initiatives which are helping drive our incremental occupancy gains. As we discussed on previous calls, we will continue our pricing initiatives within our global warehouse business in order to address known cost increases from inflation. We've taken multiple pricing actions over the past 12-plus months and these actions are protecting our margin dollars. As George mentioned, we successfully exited the third quarter with price increases in place in order to cover known inflation from the second quarter. All these increases were implemented during the third quarter, meaning the full run rate will not be seen until fourth quarter results. Conversations with our customers continue to be productive around our pricing initiatives. We are being very targeted and data driven in our approach. As a result, we continue to demonstrate Americold's ability to protect margin dollars through pricing initiatives to offset inflationary pressures. As we've discussed previously, the path to achieving pre-COVID same-store NOI margin levels consists of the following five pre-requisites. First, we need to continue our pricing initiatives to offset inflation. Second, we need to continue to integrate and fully commercialize our recently acquired facilities. Third, we must achieve and stabilize a proper mix a perm-to-temp hour's ratio and reduce our turnover to normalize levels. Fourth, we need occupancy to continue to recover and stabilize the pre-COVID levels. And finally, we need throughput volume to recover. We are at various stages in progress across these five pre-requisites and are working diligently to improve in these areas. On to our commercialization efforts. At quarter end, within our global warehouse segment, rent and storage revenue from fixed commitment contracts increased on absolute dollar basis the $396 million compared to $346 million at the end of the third quarter of 2021. On a combined pro forma basis, we derived 40.9% of rent and storage revenue from fixed commitment storage contracts. Enhanced commercialization which includes our fixed commitment initiatives is a critical component of our strategy. We look forward to continuing to improve this metric. Within our global warehouse segment, we had no material changes the composition of our top 25 customers who account for approximately 48% of our global warehouse revenue on a pro forma basis. Additionally, our term rate remain low at approximately 3.2% a total warehouse revenues consistent with historical term rates. Turning to development. We are very pleased to announce that we recently opened two new facilities: one in Dublin, Ireland, and one in Barcelona, Spain. The Dublin facility is a Greenfield build at a 6.3 million cubic feet and 20,000 power provisioned. This building brings much needed capacity to a key market for Americold and was designed with features and technology to support the demand in this market including blast freezing, mobile racking and conveyor systems. The facility is approximately 50% freeze sold and is expected to ramp full occupancy by the second half of next year, supporting customers and our retail and dairy sectors. Our Barcelona facility is an expansion project on land already owned by Americold that has 3.3 million cubic feet and 12,000 power provisioned into a critical distribution market. With the expansion that's conventional in nature, and larger storage capacity across multiple temperature zones. This expansion is part of a campus optimization project that also included adding blast capacity to our existing Barcelona site to further support growth in the pertaining market. We look forward to multiple development deliveries in the coming quarters as outlined in our financial supplement. It should be noted however that we continue to experience disruption within the global supply chain as it relates to automation components and other parts. Please note, that in addition to these disruptions, the elevated cost of construction is pressuring the business gates where potential new development starts. Beside these challenges, Americold is committed to adding best-in-class capacity around the globe to support our customer's growth and our pipeline for new potential projects remains robust. Lastly, I want to thank all of our Americold associates who are working hard every day during this quarter, our busiest time of the year, to ensure that we are playing our part and getting through the supply chain and available for families as we gather for the holiday season. We are encouraged by the growth we've experienced in our occupancy across our portfolio and into the direct reflection of the great work of our associates, the innovation of our solutions and the criticality of our infrastructure. We thank our customers for their partnership and the opportunity to fill our mission of helping our customers feed the world. Now, I'll turn it over to Marc.
Marc Smernoff: Thank you, Rob. Today I will discuss our investment in capital markets activity and mentor into full year guidance. Regarding our recent investment activity, we closed on our Australian acquisition for approximately A$25 million on July 1 and closed on our New Zealand lease buyout in renovation for approximately N$18 million on August 1. Both of these investments were funded using a combination of cash and our multicurrency revolver. Additionally, in September as planned we exited a lease building in Brisbane, Australia, that came of our acquisition of Lago Cold Stores. At the time of the acquisition, we planned to consolidate business from the lease facility into our owned infrastructure. Now, turning to our capital markets activity. During the quarter, we closed on the upsized and extension of our new $2 billion sustainability linked senior unsecured credit facilities. With us wholly entered into interest rate swaps to fix that significant portion of the base rates for these facilities. As part of this refinancing, we raised and unsecured term loan that we funded on November 1 to pay off $264 million of secured CMBS debt. These transactions enabled us to increase our liquidity by $200 million by upsizing our U.S. dollar term loan. We stand our overall debt duration with no real-estate debt maturities until 2026. Pay off our CMBS debt, reducing the corresponding interest rate on a fixed 5.7% rate to a fixed 4.1% rate and transisting our capital structure to almost all unsecured debt. Reduced our floating rate debt exposure from 30% of total debt at the end of the second quarter of 2022 to 20% at the end of the third quarter 2022. And incorporate an ESG component with results in a 1 basis point interest rate reduction if our GRESB score improves by 5% or more next year. At quarter end, total debt outstanding was $3.2 billion. We had total liquidity of $700 million consisting of cash on hand and revolver availability. Our net debt to pro forma core EBITDA was approximately 6.5x. At this point, we have invested approximately $480 million on development projects in process which reflects almost one turn of leverage. We have approximately $111 million remaining to invest on announced in-process development projects over the next 15 months. Now let me discuss our outlook for the remainder of 2022. As George mentioned, we are increasing our guidance for full year 2022 AFFO per share to be in the range of a $1.08 to a $1.12. Please see Page 44 of the IR supplemental for the individual components. At this point I will comment on the primary building block, we get to AFFO per share and provide a bridge for each as it relates to the full year. Please note that comparisons describe represent comparisons to the corresponding prior year results. For the full year, we are now expecting constant currency revenue growth in the same-store to be in the range of 7.5% to 8%. Year-to-date through the third quarter, we are at 7.9% growth. Let me provide more detail around the key revenue components. For occupancy and throughput volumes. For the full year, we expect economic occupancy to increase by approximately 275 basis points to 300 basis points. Year-to-date it increased by 249 basis points. This implies economic occupancy increases in the fourth quarter by approximately 350 basis points to 450 basis points as we expect food manufacturers to continue to ramp-up production. For the full year, we expect throughput volumes to decrease by 1.3% to 1.5%. Year-to-date, a decrease by 1.1%. This implies throughput volume decreases in the fourth quarter by approximately 1.9% to 2.7%. For pricing, for the full year, we expect constant currencies rent and storage revenue per economic occupied pallet growth in the low-7s to mid-7%. Year-to-date, it increased by 6.8%. This implies growth in the fourth quarter to be in the low-8s to mid-8% as we continue our pricing and power surcharge initiatives cover known inflation which is being driven primarily by power process in the rent and storage business of our same-store. During full year, we expect constant currencies service revenue per throughput pallet growth in the high-6s to low-7%. Year-to-date, it increased by 7.3%. This implies growth in the fourth quarter to be in the high-4s to low-6%. As you may recall, last year on the fourth quarter 2021, we started taking additional pricing in our services business due to inflationary pressure mostly in labour costs. This created tougher year-over-year comp in the fourth quarter for our services revenue pricing metrics. As George mentioned earlier, while we are not seeing significant moves in our labour cost at this time, we continue to see inflationary pressures in warehouse supplies cost. We continue to implement our pricing initiatives accordingly. For the full year, we are now expecting same-store constant currency NOI growth to be in the range of 6% to 7%. Year-to-date, we are at 4.4% growth. This implies growth in the fourth quarter to be in the range of low-double digit percent to mid-teens percent. This implies fourth quarter increase is being driven by our expectation of continued increases in pricing and occupancy. And so other line items that I'll be describing in actual dollars, not on a constant currency basis. Turning to the non same-store pool. At this time, we're pushing back the completion date by one quarter to the first quarter 2023 of our customer dedicated automated site in Pennsylvania. The facility is complete and we have received this good of occupancy. However, in consultation with our customer, given the high level of volume this particular customer experiences during the holiday season, we thought it was prudent to take this approach. We did not want to begin the on boarding process during this crucial time. We look forward to starting the process with this customer early next year. Please note, while this does impact the performance of our non same-store pool in the fourth quarter, we still expect this project to ramp and stabilize during the timeframe and after return level disclosed. For the full year, we expect the non same-store pool to generate approximately $34 million to $38 million of NOI which is net of approximately $14 million of start-up cost related to our development projects. Year-to-date, these start-up costs has been approximately $8.5 million. This start-up cost number has increased primarily due to the change in the complete date for this Pennsylvania project. Turning to our managed and transportation segments NOI. For the full year, we expect these segments combine to generate approximately $57 million to $60 million. Year-to-date, these segments combined have generated $44 million of NOI. This range incorporates the exit of the managed business of the national retailers 4 facilities that George covered earlier. Turning to our core SG&A expense. Adding back stock compensation expense to our total SG&A expense arise and what we call a core SG&A expense, which was what's really impact AFFO. For the full year, we expect core SG&A expense to be approximately $200 million to $204 million. Year-to-date, it was $149 million. Turning to interest expense. For the full year, we expect interest expense to be approximately $114 million to $115 million. Year-to-date interest expense was $83 million. This range implies interest expense of approximately $31 million to $32 million for the fourth quarter. This slight increase versus $30 million in the third quarter 2022 is being driven by the increase in base rate for our credit facilities partially offset by the action we took during the quarter to convert building rate debt to fix and paying off CMBS debt reflects expenses fixed rate unsecured term loan debt. Onto our cash tax expense, which is another than in tax AFFO. For the full year, we expect this expense to be approximately $4 million to $6 million. Year-to-date, it was $3 million. As a reminder, most of the corporate income taxes we pay at Americold are from our international operations. Turning to our maintenance CapEx. For the full year, we expect the investments to be approximately $84 million to $86 million. Year-to-date, it was $59 million. This implies maintenance capital expenditures of approximately $25 million to $27 million in the fourth quarter. Please note, this implies a meaningfully higher number in the fourth quarter 2022 versus last year's fourth quarter which was $21 million. Now at an AFFO per share level. Year-to-date, our AFFO per share was negatively impacted by approximately $0.01 and for the third quarter approximately a $0.025 due to the impact of unfavourable foreign currency exchange rates. Broadly speaking, as our guidance page of the IR supplemental showed we in fact continued currency translation headwind due to the strengthening of the U.S. dollar for the remainder of the year. Turning to the full year AFFO per share. For the full year, we are increasing our AFFO per share guidance range to a $1.08 to a $1.12. We had provided detail around the building block but let me comment on this implied fourth quarter range as it relates to fourth quarter 2021 AFFO per share of $0.31, which is a challenging comp due to the low NOI lien items even though we're increasing full year 2022 guidance. Comparing the implied fourth quarter AFFO per share range to fourth quarter 2021, please note the following. Operating performance is expected to be up meaningfully at the total company NOI level for the fourth quarter 2022 versus last year's fourth quarter. However, core SG&A interest, cash taxes, and maintenance capital expenditures are all expected to be higher which are offsetting this operating performance improvement and weighing on AFFO per share. Additionally, FX headwinds are weighing on AFFO per share in this comparison. We keep in mind our guidance does not include the impact of acquisitions dispositioned though capital market activity beyond which has been previously announced. Lastly, we should refer to our IR supplemental the detail on the additional assumptions embedded in this guidance. Now, let me turn the call back to George for some closing remarks.
George Chappelle: Thanks, Marc. Overall, I'm very pleased with our performance this quarter and our pass forward. We continue to enhance our internal capabilities around controlling what we can control. We have made good progress on our core near term priorities. Our core same-store pool is recovering nicely as we see economic occupancy meaningfully improve and we continue to reprice our business to offset known inflation. Within the same-store pool, we can expect to see service NOI margin continue to improve as we move towards our optimal perm-to-temp ratio and stabilize our turnover rate. I would like to thank the Americold team for their hard work and contributions to our performance. These positive improvements are a result of the combined efforts of all of our associates around the world and I'm extremely proud of all they've accomplished so far this year. Thank you again for joining us today. And we will now open the call for your questions.
Operator: Thank you. [Operator Instructions] The first question comes from Samir Khanal with Evercore. Please go ahead.
Samir Khanal: Hey, and good afternoon everybody. And George, can you maybe comment on how we should think about throughput volumes and we considering that next year, probably will have a turbulent economic slowdown. I know you're down sort of 1.3% in the quarter you said. But how do you, how should we think about that to that fall in level, we know if sort of '23 and '24 remains challenged from an economic perspective?
George Chappelle: Well, I think we'll remain challenged if I listen to our retail customers. They're citing smaller basket sizes and less much traffic through the stores. So, I think it will remain down as you know there is some fixed cost in there. So, that's why when it is down we can successfully take up the variable cost but we can't really deal with the fixed cost which wasn’t isn’t that which impacts us to a degree. But I don’t expect it to improve and I don’t expect it to materially supplying.
Samir Khanal: Okay. And I guess my second question really based on labor turnover remaining elevated. And maybe talk generally about sort of the initiatives you are sort of implementing at Americold and to better retain the workers?
George Chappelle: Yes. Well, we're making progress. I mean, we added about a 150 permanent positions in Q3. So, if you recall we quoted that we were down about 2000 open positions at the start of the year. We've reduced that to about 1500 by the middle of the year and now we're down around 1400. We've got a ton of different activities in terms of increased recruitment and buddy systems, compensation based on performance. We've got it surrounded as best we can, it's just a very challenging market and very difficult to retain people. Easier to attract people than was in the past, much more difficult to retain them.
Operator: Next question comes from Michael Carroll with RBC Capital Markets. Please go ahead.
Michael Carroll: Yes, please. George, I kind of want to talk about how operating result today compared to pre-COVID levels. It looks like economic occupancy in the third quarter is over 80%, means that's well above where it was pre-COVID. So, I mean is it fair to say that occupancy is all the way back to where it was pre-COVID?
George Chappelle: I don’t think its well above, I think it's if I remember correctly just a little short. I think we're at 81% versus 80%. But to your point, it's come back very well in the U.S. It never really changed in Europe to be honest. I mean, we've held our occupancy there very well. And we had a little bit of change in our strain as even. But I would say is 95% to the way back and the challenge for it now is to operate efficiently with brand new associates.
Rob Chambers: And one thing, Mike, this is Rob, that I would add is in our fixed commitments that increased pretty significantly. So, it's even pre-COVID and that's definitely helping us even in an environment where there's still a gap between economic and physical occupancy.
Michael Carroll: Okay. And then, what is the different between I guess, I know margins are lower today just given the issues that you're having with labor and all its inflationary costs. I mean, I guess how much more I guess you said this in your prepared remarks but how much more do you can rates are going to go in the run rate basis between what you report in the third quarter and what you're going to realize in the fourth quarter. And then, how far you weigh from like pre-COVID margins based off of that?
George Chappelle: I'll take the first one. I would expect that this is typically 100 basis points or 200 basis points a pricing that does not impact the quarter we're in and kind of rolls into the next quarter. I think in the last quarter we said we're at 7% and expected it to be close to that 80% on a run rate basis. So, we got a basis point to two in there when we priced during the quarter. So, that’s the first half. We're still I would say significantly up from historic margins in the handling business and that gets back to the retention, the turnover, the fact that we have so many associates new to their job. At one point, we calculated close to 40% of our associates were in the job less than 12 months. That's not unusual in the industry right now. And until they become well-trained and skilled with what they're doing, we're going to have efficiency issues. So, until we get that under control, retention gets back to pre-COVID levels, then I think we get back to margins there pre-COVID levels.
Operator: Next question comes from Dave Rodgers with Baird. Please go ahead.
Dave Rodgers: Hi, good evening. George, I wanted to follow-up maybe on what you were just touching on. I think you said in your prepared comments no more pressure on labor cost, and I don’t know if that was just net of your pass through there or you think you've actually solved kind of the gross organization of that problem. And then you have said I think previously you would anticipate and kind of stabilization of the business from a topline second half of '23 and six months later getting to that margin recovery. Like do you move that up today, do you feel like you're just much closer to full stabilization today?
George Chappelle: Well, I feel like occupancy is recovering nicely obviously. And Dave, I still think we've got a real challenge on labor. I mean, retention the loss at 77% of people. So, they're not a 10 people don’t stay with us long enough to become productive. We'll never be efficient with those numbers. Those retention numbers have to get better and they have to get to pre-COVID levels before we can get our services margin as to pre-COVID levels. So, I think that that's the challenge. And at the rate we're going, we certainly will not achieve the retention rates we need this year and probably we will struggle next year to get it all the way back to pre-COVID levels.
Dave Rodgers: With topline coming back faster, maybe margin come in like a little slower, net-net maybe equal to where you were last quarter or a little better?
George Chappelle: I think that's a fair way to say. Topline coming back faster driving by price, right, mostly and occupancy and margins coming back slower due to the drag in the services business with labor.
Dave Rodgers: And that's helpful. And then, just as a follow-up maybe on Europe. I wanted to ask about your ability to kind of pass through the utility costs there. Clearly, has been a concern in an overhang. Are there any differences between what you're experiencing in Europe maybe from a cost pass through perspective versus the U.S.?
Marc Smernoff: Not from a cost pass through perspective. We can price surcharge in Europe just as we did in the U.S. and we can pass through the labor costs just as we give in the U.S. It's just that the power increases came very fast and in big percentages, right. We've got markets that have 2x power pricing and 3x power pricing. It's they're big numbers and we're passing them along but as the lag is 30 days on that and you know on our normal pricing it's 60 to 90. So, it's just getting the pricing caught up with the inflation and the difference being it's really come on fast in Europe.
Operator: Next question Mike Mueller with JPMorgan. Please go ahead.
Mike Mueller: Yes, hi. Are there any noticeable differences that you're seeing in terms of the activity level and you could say retail versus food services?
George Chappelle: And we don’t really measure the business that way, we measure it more on a site basis. Maybe Rob, you can comment, I don’t know of any velocity differences I would point out between manufacturing and retail. I don’t know if you?
George Chappelle: Not a lot between those. I mean, certainly we're pleased with some of the recovery that's happened in our food manufacturing business, but I wouldn't say anything to speak up there between food service and retail.
Mike Mueller: Thanks.
Operator: Next question, Vince Tibone with Green Street. Please go ahead.
Vince Tibone: Hi, good afternoon. How do you think the Kroger, Albertsons merger will impact your business assuming the deal is completed? 
George Chappelle: I don't know that it will. We don't have any business with Kroger at the moment. And we're shortly we will not. And Albertsons is not a huge customer of ours. So, do you might want to comment Rob on that one?
Rob Chambers: Yes. We have -- there's a facility that we have that has a long term agreement in place, fix commitment with Albertsons, Safeway, and I think we feel very confident that that business will continue. Outside of that, we don't see any real significant impact of that merger on our business.
Vince Tibone: Great. That's helpful. Can you just quantify the Albertsons in terms of the percentage of rent or NOI just to help frame it? 
Rob Chambers: Almost a material. 
Vince Tibone: Okay. Thanks. And then, maybe just one more for me. I mean, you mentioned the challenges you're experiencing on the development front. Could you discuss the current supply landscape for the cold storage industry more broadly in the U.S.? And any notable changes in recent months? 
George Chappelle: So I didn't really, I didn't get the question.
Marc Smernoff: Vince, can you repeat the question?
Vince Tibone: Sorry about that. My kind of question was just on the supply landscape broadly in the U.S. Any notable changes you're seeing in recent months? 
George Chappelle: No. I can't point to anything noticeable in our landscape, and certainly impacting our business. Do you know Rob?
Rob Chambers: There's been some announcements, but I'd say we haven't seen a lot of those come to fruition to be honest with you. And there's been no noticeable impact on any of our business as a result of potential new capacity. We quoted our churn rate in our prepared remarks, and it's remained very consistent. So, no material impact.
George Chappelle: And obviously, our occupancy is rising. So, we feel like we're positioned pretty well and the landscape really hasn't changed. 
Operator: Next question, Ki Bin Kim with Truist Securities. Please go ahead.
Ki Bin Kim: Thank you. Good evening. So, taking a step back and looking at the labor situation that we've gone through for the past couple of years. And even before this, period, labor always been a big part of the business and even like workers comp issues have come up time and time. Isn't the past two years the kind of biggest case to make for more automation in this business? And how do you think about that? And have you start -- what kind of ideas have you come across maybe thinking outside the box, I'm not sure if partnering with some technology companies might make sense. Just curious on your overall thoughts there? 
George Chappelle: Well, automation as you know, when we came out of COVID, automation was what everybody wanted, our largest customers, I should say wanted. We constructed several automated facilities, one right here in Atlanta and two coming on less next year for a large retailer, and then building supplies and inflation hit. And that's really put a damper on large scale automated facilities. We priced one recently identical to one of the buildings I just mentioned, and costs were up almost 40%. So, that makes the business case tough to pencil out. And it also makes customers nervous about that type of investments in terms of how they get a return on it. So, it slowed down the automation builds pretty significantly. We do have programs to semi-automate conventional facilities. We run those through our supply chain solutions group. We use consultation with customers to demonstrate how we can semi-automate facilities, but there's no substitute for a building that's built specifically to be highly automated. So, there are some things we can do on a hybrid basis. But beyond that, it's either conventional or a large scale automation doing, that's right now, difficult to pencil out. 
Ki Bin Kim: Okay. And turning to your development pipeline, you obviously have several projects that are slated to contribute cash flow in the coming year. Can you provide some guidance on that part of the puzzle for 2023? Like how much an NOI contribution should we expect from the development projects that are currently not in the runway today? 
George Chappelle: Yes. We'll be providing full year guidance as we normally do in February for next year. I think what you can see is as detailed in the supplement, there's a number of development starts planned for next year. Many of those, especially the larger, more complicated types that will be coming on either a high automated side. So, typically have a ramp period that will span out beyond that first year period. I think the one difference, as we've noted on prior calls as well given is that many of these sites are dedicated buildings to specific customer. So, as they start to onboard, we get the full benefit of the rent and storage as soon as they start inbounding products. So, we'll be providing further guidance for the full year on that pool as it relates to our guidance for next year. But I would look to the stuff we haven't moved off of any of the timing to full stabilization as detailed in the supplement [ph].
Rob Chambers: And we're really excited about the three deliveries that we had in the back half of this year, our Dunkirk facility and the two that we announced today with Dublin and Barcelona, both of those facilities are inbounding product as we speak. And so they'll have a nice kind of wraparound impact as we go into next year.
Operator: Next question comes from Anthony Powell with Barclays. Please go ahead. 
Anthony Powell: Hi, good evening, I want to dig into some of the market share comments you made in the prepared remarks. Who do you gaining share from? Is it from your large competitors? Or from smaller players? And where can market share go, you think as you continue to improve service levels? 
George Chappelle: Yes. I mean, I think we're seeing that we're winning more than our fair share of new business development opportunities. I do think some of those come from smaller competitors, as we have the opportunity to deploy more capital than others. Also we're seeing customers that may have done some of this business themselves more interested in outsourcing the business to somebody like us, as the environments gotten more challenging, we're taking advantage of that opportunity as well. 
Anthony Powell: Got it. So, pre-COVID, it was 81%. And you gaining share, like where to seek and top out? Could you go much higher than 81% as you can gain market share? 
George Chappelle: Look, I think we're focused on getting recovery back to pre-COVID levels. And we are making very good progress, as you saw this quarter where we saw our same store overall occupancy improved 437 basis points on an economic basis. But we are still well below pre-COVID levels, especially when you look on the full year basis. So, as we've said in prior commentary, our manufacturing clients in particular people and even our retailers are very focused on adding some resiliency to their supply chain and efficiency. And we think, over time that should benefit outlooks around.
Marc Smernoff: Yes, just want to add. Also with growing with existing companies, as well as they solve their staffing issues, and they ramp up their manufacturing capability we're growing with them as their output increases. So, while that's not technically market share, that's not business that we didn't have to win back everybody has to win back business in this environment. And we've been successful in recapturing what we owned in the past as well as taking what Rob mentioned. 
Operator: Next question comes from Bill Crow with Raymond James. Please go ahead. 
Bill Crow: Hey, good evening. Thanks. We're a long way away from this. But what happens when we get to disinflation? What happens when energy prices go back down assuming they do, at some point? How quickly does your tenants come back to you and look for rate adjustments? 
George Chappelle: Yes, in particular, around power. That's why we use a surcharge mechanism, because it's designed to move up and down. So, as rates rise, the surcharge comes on. When rates fall, you take the surcharge off. It follows the same lag effect on the way up as it does go way down. So, that's a pure pass through. There's no accretive margin there. It's strictly cost recovery. On the labor inflation side, I don't think anybody expects labor rates to go back to where they were. So, those increases would be permanent, on the basis that, again, the labor rates are here to stay. We don't view those as transitory at all.
Bill Crow: Do you get more pushback on these increases from certain geographic areas or is it -- I mean, I know they have to take it to do business. But is there a different attitude, different geographical locations?
Rob Chambers: Because we are really data driven and targeted in the approach, so this is not like a peanut butter approach where it's the same rate increase across every site or every geography. We're using indices. We're using real data. We're using actual invoice level detail from our facilities to share with customers and that allows the conversations to be extraordinarily rational. And I think it's appreciated that we take that approach versus the peanut butter spread. 
Operator: Next question, Craig Mailman with Citigroup. Please go ahead.
Craig Mailman: Thanks. George. I just want to go back to your commentary on the improvement here in less temp labor. I'm just kind of curious at the time of the call last quarter, clearly, this was still a pressure. I mean, is that an end of quarter metric that 10% improvement was at average? And how are you guys managing that given the churn that you're having with, I guess, the employee base, even though you're bringing in people faster? 
George Chappelle: That's an end of quarter metric, Craig. We snap the line at the end of the quarter and we essentially do a tally. So, we know where we are on a like-for-like basis. And we're managing it through a number of programs, we've gotten to a place whether it's buddy systems, so that an individual can learn from a peer versus a supervisor or a boss, introducing people to one another, trying to create an environment where people essentially make friends at work. The data shows that when you like coming to work, and you like the people that you work with, you show up more often, and you stay with your job. I mean, there are all kinds of techniques. We've got a ton of effort focused on our human resource group and in our ops group, it's just a very challenging environment. I think people liked the pay rates, and they liked the benefits. And that's why we're seeing a lot of people show up at the door. But they underestimate what it takes to work enough in a cold environment. And I think that's contributing to the churn. I'm less concerned about the churn as long as we keep adding permanent people as we have been, because I view it as a process you have to go through. And that's why I believe that the rates we're paying are appropriate. Now, if people stopped showing up, we'd have to take a different action. But right now we're getting plenty of applicants. And the churn is just trying to find the few applicants that can work in our environment, and then enjoy the plain benefits we have. 
Craig Mailman: Right. I guess my point is, that was a pretty positive statement in the beginning of the call, but it's a point in time. I'm just kind of trying to get a sense of how that trends is sustainable. And does the third quarter just -- were there a couple of things that just came together that drove the beat, then the decision to raise here after the whole discussion last quarter about not raising, right? There is been just a little bit of a whipsaw on the messaging here almost since June NAREIT when that seems like things are getting better than we pull back. And now it seems like things are getting better again, it's just -- it's hard to calibrate, I guess is we're heading into 2023 to say, is this the bottom from an AFFO standpoint? And we're going to bounce off of here? Or is this going to be kind of a slower ramp off the bottom? Or have we hit bottom if that makes sense?
George Chappelle: I haven't seen the question. Look, if you go back to June, we cited the headwinds that we had, and which were largely unknown in terms of scope and magnitude. We didn't have our refinanced done. There were a lot of issues there. The core business performed very well in the second quarter. Third quarter got real a lot better, and due to occupancy. That was the main driver. We did make progress on labor. We did make progress on pricing and handling. We didn't make tremendous progress on productivity in handling. And that gets back to the labor issue we just discussed. But I would say the main driver between Q2 and Q3 is occupancy and we don't expect that to go backwards. So, hopefully that helps.
Craig Mailman: Just one quick follow on. Someone hit on earlier just the price increases and the tenant response to that. I mean, if we are going into sort of a weaker environment, and what's the pushback outside of the energy [ph] surcharges been from tenants regarding just to continue kind of adjustment in rate here if they're worried about kind of weakness, people have smaller baskets at the grocery stores, their significant food inflation rate? Are they girding for a pullback here in terms of headcount? And kind of how does that fit in with you guys continuing to try to kind of keep pushing through the cost and improve your margins potentially at the expense in those?
George Chappelle: Well, I don't think that if we go back to our script. We said, we do not expect labor inflation going forward. We seem to have found equilibrium on what we need to pay people to show up and at least join us and see if they can work in our environment. So again, with all the applicants showing up, that tells me that our rates are probably stable, and we don't see inflation going further. Our customers understand that we have to pay people to work on their behalf. And they are pretty realistic in terms of what it takes to hire somebody today, both in terms of pay rates and benefits. And as Rob mentioned, when we lay out that data specific to a location and a customer location, they're not contentious discussions that might be around timing when we take the price or do we take it in one chunk or two chunks or you know those types of discussions we always have. But there's nobody who has come to us and said, we just don't believe the numbers or we think you're trying to margin up, because this has been all about trying to get back to pre-COVID margin. That's all we've been trying to do through pricing and customers understand that because they're trying to do the same thing quite frankly.
Operator: Thank you. This concludes today's teleconference. You might disconnect your lines at this time and thank you for your participation.